Operator: Good day, ladies and gentlemen, and welcome to the First Quarter 2011 Service Corporation International Earnings Conference Call. My name is Ragina and I will be your operator today. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer. (Operator Instructions) I would now like to turn the conference over to SCI management.
Debbie Young: Good morning. This is Debbie Young, Director of Investor Relations at SCI. Thanks for joining us this morning as we talk about our first quarter results. Let me just briefly read our Safe Harbor language. In our comments today, we will make statements that are not historical facts and are forward-looking. These statements are based on assumptions that we believe are reasonable. However, there are many important factors that could cause our actual results in the future to differ materially from these forward-looking statements. For more information related to these statements and other risk factors, please review our periodic filings with the SEC that are available on our website. Also on the call today, we may use terms such as normalized EPS or normalized or adjusted cash flow. These are of course non-GAAP financial terms. Please see our press release and 8-K that were issued yesterday where we had provided a detailed reconciliation for these measures to the appropriate GAAP term. And with that, I’ll begin with our President and CEO, Tom Ryan.
Thomas L. Ryan: Thank you, Debbie, and thanks everybody for joining us on the call today. I am excited to report that we started off the year with strong results that exceeded both external expectations as well as our internal expectations for earnings per share and for cash. We reported a normalized earnings per share of $0.17 versus $0.13 in the prior year quarter. This is the growth of $0.04 per share or some 31%. This quarter-over-quarter improvement was primarily driven by four things. First, the acquisition contribution from our Keystone businesses. Remember, we closed Keystone on March 26 of last year, there really wasn't in our result until the second quarter of 2010. Secondly, positive comparable funeral volume. I never thought I'd say that, but I am, and very proud to say that had a very positive impact on the quarter. The third item was higher cemetery preneed sales production, which again we've seen some trends of that past quarters that continued in the first quarter of this year. And lastly, we had higher trust fund impact. Now, I am going to shift to talk a little more detail about the funeral operations. In the first quarter, our comparable funeral revenues we reported was $379 million, which is a growth rate of 4.3% or some $15.6 million. This was driven by the same-store volume, which was up 1% for the quarter and this was a trend, which began in the last two months of 2010 and continued really through February of this year. March was a bit softer and we have to believe that this was generally caused by the severe weather we experienced in the winter and actually experiencing right now unfortunately and a dissipated impact on the volumes associated with the stronger flu season. In Q1, our funeral average grew 1.9%, which takes into account higher trust fund income and a positive Canadian currency effect. Excluding these favorable impacts, we experienced a growth of 0.9% quarter-over-quarter, which was in line with our expectations. This growth in overall average occurred despite the 230 basis points decrease in cremation. This increase is larger than what we typically have seen in any given period, but remember it's only three months. I don't think this is something to overreact to. Keep in mind that last year the cremation rate only grew at 70 basis points. So this can be volatile and again, we'll continue to monitor, but it did have an impact on this quarter, because while we saw a healthy increase in the burial average this quarter, it was offset as all of the increase in the cremation mix during the quarter really fell to the direct cremation category for us. That put pressure on the overall average. Also aiding the increase in funeral revenue was higher G&A revenue of $5.4 million on increased production as well as a continuing shift to an insurance fund product. From a profitability standpoint, comparable funeral profits increased $9 million and the margins grew 140 basis points. This is what you'd expect on a revenue increase of $15.6 million or about 60% drops to the bottom line. We managed our cost well and the revenue increases are reflected in the margin, but slightly offset by increased selling costs of $4.2 million from higher preneed production in the current quarter. Remember that the cost recognized immediately in the period incurred, while the revenue is deferred and delivered. Our reported preneed funeral sales declined 1.2% or roughly $1.5 million for the quarter. Included in these results is a one-time adjustment of $7.3 million to reflect insurance cancellations that occurred in November and December of last year that did not get reported as we transitioned the new system. As this adjustment does not have a GAAP impact, remember insurance funded contracts are even on our balance sheet, we chose to run it through the first quarter period for reporting purposes. If you exclude the out of period cancellation adjustment, we actually grew preneed funeral sales by 4.8% or $5.8 million. But it is fair then when you look back at 2010, we’d originally reported a 10% increase, which after incorporating this adjustment we still grew preneed funeral sales last year some 8.4% and we continue to demonstrate that we can grow preneed funeral sales in the low to mid single digit range. In 2009, we had a 3.2% growth, 2010 8.4%, and again in the first quarter growth of about 5%. And we expect this trend to continue. As far as the revenue goes, when you think about the rest of the quarters, remember that Q2 last year had a benefit of tax changes in Canada, which generated lot of sales. So it’s is going to be difficult comp for us I think in the second quarter. Having said that, remember sales fell off in Q3. So we’d expect to get a lot of that back as we enter the back of the year and the softness that we experienced in the Canadian operations associated with preneed sales. Now I’m going to shift to cemetery operations. Our comparable cemetery revenue increased $10 million or 6.2% quarter-over-quarter. This was mainly attributable to increased cemetery sales production and higher trust fund income. Our comparable preneed sales production in cemetery grew $15.1 million in the quarter or some 16.1%. Recognition rates were down some 10%, but we had the impact of some of the revenue that’s going to come in future periods, which we bore all of the costs in the current period. This growth, as you can expect 16% growth, and again, a lot less payments of 10%, is really happening as we radiate outside of our cemetery. As we grow cemetery sales, we’re moving farther and farther away from the property and this growth tend to have lower down payment and is beginning to work. So I view this a very, very positive trend and as we collect those dollars in future periods, those revenues will flow through our profit statement in having those selling costs associated with them, the way that our GAAP accounting works. Another exciting part, cemetery trust fund income increased $2.4 million quarter-over-quarter, it came in a little ahead of our expectation. Despite the increases in revenues, cemetery profits declined $1 million for the quarter, margins dropped 160 basis points. Let me just address the key factors here, because we had a number of unusual items that impacted our results and when isolated, shows that the cemetery segment margin were actually pretty good. Within our margins this time, we had $1.2 million of higher selling compensation on unrecognized revenues. So the point I made before, we sold some things in the backlog, recognized the selling costs, but don’t have the revenue shift. That’s about $1.2 million in our profit stream. We had an additional item that relates to property. We had two very large sales that occurred in previous periods, I think one was in 2007, one in 2009. We recognized some extraordinary profits on these in California in those periods relating to the land sale. Now, we have to turn around and build the [morgue] as we bid this project competitively. There is not a lot of profit in the completion of that morgue. We had about $2.2 million of revenue, $2.2 million of cost associated with completing this morgue. Again this is an unusual item to occur. So that two negated some of the profitability in the quarter. And lastly, just had some adjustment as it relates to our inventories and again in installing the new system and putting in new cost, we have about $1 million impact to that as well. So, excluding these unusual items there is couple more, cemetery profits are really –would be above what we would expect on this incremental revenues that came to probably 18%, 19%. These items are expected to be non-recurring and therefore we anticipate that our cemetery cost structure would return to a more normalized levels when you think about how we roll out the rest of 2011. In conclusion, we’re very pleased with our performance for the quarter. As we look ahead, we’re very optimistic about the remainder of 2011. Again, cemetery should benefit as we collect on the less than 10% out sales made during the first quarter. And we return to a more normalized cost structure, which we’d expect to happen beginning next quarter. We continued to have great cash flow and liquidity, our premium sales efforts continued to be very successful. And remember, these are not capital-intensive initiative. We will deploy our cash to capitalize on the value enhancing opportunities with you. First and foremost, through strategic acquisition at the appropriate returns. M&A environment has been steadily improving and we’re well positioned to take advantage of that. In the first quarter we purchased two funeral homes, which combined our annual revenues of approximately $6 million and our (inaudible) business. Secondly, we will return cash to shareholders through share repurchase and dividend. Our current share price, we have a free cash flow yield of some 10% or 11%, which we believe repurchasing our shares continues to be a prudent use of our capital. Eric, will talk about our investments and share repurchases that we made in the first quarter in just a moment. And lastly, we will reduce liquidity risk and manage our debt maturity profiles. Finally, jut remember, the baby boomer impact is coming. Baby boomers turn 65 this year and every day 10,000 Americans celebrate their birthday. We believe this will have a very positive effect on our free need programs in the near term. And towards the latter half of the decade we will begin to see some impact on the (inaudible). We believe we’re very well positioned to capture differential growth associated with these trends. This concludes my prepared remarks. Now, I am going to turn it over to Eric.
Eric D. Tanzberger: Good morning. As Tom just said I’m going to talk about our cash flow and our trust fund performance for the quarter. Then I’ll briefly discuss our current financial position, liquidity and I’ll end with some comments about our cash flow deployment during the quarter. So, let’s start with cash flow. As you saw in the press release, our cash flow from operations for the quarter was about $108 million and this is basically flat to last year but is higher than our internal expectations primarily because of the better than anticipated earnings that Tom just walked you through. Included in this cash flow number for the quarter was about tax rates funds about $8 million. And this primarily related to the tax accounting method changes that I had previously described and talked you about on our February conference call. Excluding these tax refunds the cash flow then declined by approximately $9 million quarter-over-quarter. And although we had higher EBITDA as we described in slightly lower cash interest in cash tax payments, these cash flow benefits were offset our working capital timing differences, which by the way that we anticipated in our internal expectations. And most importantly, overall, our cash flow operations for the quarter came in slightly better than what we anticipate. Total CapEx for the quarter as you saw in the release is $25 million as the recurring maintenance and cemetery development CapEx was about $23 million of this amount. This is generally inline with our expectations, and again recall as we discussed in February, we will anticipate recurring CapEx to range about $85 million to $95 million for the full year of 2011. When we deduct our current CapEx that I just mentioned we calculate our free cash flow for the first quarter to be about $85 million. This is slightly above our expectation even if you exclude the tax refund about $8 million that we received which is included in that $85 million. And I really want to note something important here again about our free cash flow in the first quarter. The free cash flow is impacted by the timing of cash interest payments as we know and remind you they are primarily concentrated for SCI in April and in October. So, we want to caution you that using our first quarter free cash flow and annualizing it to a full year amount. If taken as a full year, we still believe our guidance up $235 million to $295 million of free cash flow for full year 2011 is achievable. And as we said on many occasions that a share price in the middle $11 range, this represents a very attractive free cash flow yield in the 10% to 11% range. Couple of quick income statement items. Our normalized effective tax rate for the quarter was about 36.4% compared to 36.0% last year. This is lower than our guidance for the full year of 37% to 38% due to certain discrete items or one-time items, positively affecting our effective tax rate in the quarter and it is primarily related to changes in state income tax laws that lowered slightly our state tax rate. We would still anticipate the full year guidance being above 37% to 38% on a normalized effective tax rate. Our general and administrative expenses for the quarter, as you saw, were about $28 million. These were slightly higher than our original expectations. Since we talked about this in our February call, our stock price has increased about 30% and this affects our long-term incentive plan which is tied to total shareholder return and causes to accrue about $3.5 million in the first quarter above our original expectations. And again while we can’t predict the total shareholder return for the rest of 2011, at this current share return levels we would possibly accrue only another $3 million in total over the rest of 2011. Let’s then talk about our trust funds, our combined trust fund assets increased by about 3.8% in the first quarter. This compares to the S&P of about 5.9 – aggregating that up by about 0.4% in the quarter. So this performance was slightly ahead of our expectations. The total trust fund income recognized in our income statement for the quarter was $24.4 million, which is $3.2 million more than the first quarter of 2010. This is a little ahead of our expectations on better than anticipated trust fund performance that I just mentioned to you. At this point our assumptions for the trust fund returns in 2011 remain unchanged. Recall that we’re assuming that our consolidated trust fund assets will realize an annual positive return in the low single digit percentage range. And again its measure correlates to the percentage we provided in our press release every quarter and is consistent with the first quarter performance. Let’s talk about our financial position and our liquidity as well. Our cash balance at the end of the quarter as you saw was up $210 million. Today we’re about $175 million in cash on hand and generally the difference in our cash balance is due to about $36 million in cash interest payments that we had in April. In terms of our credit capacity, in March, you may have seen that we completed an amended bank credit facility. This new facility was filed in an 8-K in late March. This is substantially similar to our previous facility that some other changes are the size and the span of the facility from $400 million to $500 million. The maturity was extended from November 2013 to March of 2016 and we had slightly better interest rates as well. We had no borrowings on the $500 million facility, but we do use it just report just over $40 million of letters of credit. At the end of the quarter, our total debt was about $1.85 billion. Our debt maturity profile at the end positions us well to explore value-enhancing opportunity. And again we’ve no meaningful debt maturities until October 2014 and that amount is right around $180 million. And really when you look at our near term maturities for 2016, we believe they’re manageable within the levels of normalized free cash flow that we are consistently generating. Our current leverage continues to be favorable and at the low end of our target range that we’ve discussed on a net debt basis of 3.0 to 3.5 times. At the end of the quarter, we are approximately 3.1 times. Let’s talk about our capital deployment in the first quarter. Tom mentioned this, that we closed two acquisition during the quarter for a total spend of about $10.5 million that you saw reported on the cash flow statement in investing activity. During the first quarter, we also continued our share repurchase program, and repurchased just over $3 million shares for a total investment of just under $29 million. Subsequent to the end of the quarter, we continued and bought about 60,000 shares for about $600,000. As of today, we currently have about $150 million remaining on our existing share repurchase authorization from our Broad of Directors. Our current shares outstanding are now down to about $238 million. And really looking back at this, our share count peaked in mid-2004 at a little bit more than $337 million. So our current share count today represent a 30% reduction since that time. We didn't have any meaningful debt repurchases during the quarter, and we’ve purchased about $5 million in the open market, but we will continue to repurchase debt in the open market when we believe that the value have been the case is a prudent use of our capital, and as Tom mentioned, as we continue to manage our near term debt maturity profile. In conclusion, we're very excited about 2011, and we’d like to withstand financially. We have a strong balance sheet as I mentioned with $175 million of cash with great liquidity, great favorable debt maturity profile and attractive free cash flow. We will continue and intent to use our capital wisely to take advantage of opportunities that ultimately will increase shareholder value. So with that Ragina, I’m going to turn the call back over to you and open it up to questions please.
Operator: (Operator Instruction) And gentlemen your first question today comes from the line of John Ransom with Raymond James.
John Ransom – Raymond James: Hi. Good morning.
Thomas L. Ryan: Good morning.
John Ransom – Raymond James: Do you all think that debt rate in the first quarter was a little bit of blip, do you expect we’ll return to kind of the down one to two market that we’ve seen over the past several years?
Thomas L. Ryan: John, at least I could predict that, but the truth to the matter is we don't know. I think it's our belief…
John Ransom – Raymond James: Then you guess it's been $1 million or something as you study especially in this kind of stuff.
Thomas L. Ryan: We did…
John Ransom – Raymond James: (Inaudible) answers.
Thomas L. Ryan: Yeah. We have opinions about trends as we go forward John. It's very, very difficult given here to predict. I think what we believe is the trend should begin to start pointing in a better direction for us. But quarter-to-quarter, year-to-year it’s very, very difficult to predict. And so I think we view the first quarter as, we're doing a good job and maybe some of the demographics are starting to slightly shift the other way, but a lot of that can be driven as you know by severe weather. And so we're pleased with where it is, we positioned the business to be able to handle increase in volume and it keeps the volume, so we're prepared to deal with whatever comes our way.
John Ransom – Raymond James: And what are you doing now in terms of, if you look because you’re standalone, your cremation business, how much is your revenue per call up for maybe a couple of years ago, and if you do everything you want to do, look at that number looks like in a two, three years?
Thomas L. Ryan: Well, I think if you look at cremation, we kind of view in two different buckets internally to talk to your issue. One is direct cremation, then we call it cremation with service, but you can look at pricing in both of those over the last five years, the compounded growth rates have exceeded the industry and have exceeded the burial growth rate, we’re probably looking it in cremation it’s 6% and 7% kind of compounded over the last five years versus let’s say the burial growth rate is closer to three, and then you're dealing with the mix change. So we're seeing cremation go up, some of that is within our network we’ve raised prices on direct cremation and probably the bigger piece of it is, we're selling more products and services to cremation consumers that want us, and we're doing that a lot in the packaging and we are seeing some success. So I think our belief is as it relates to that consumer that want service and want merchandising, we can grow at differentially from a percentage prospective relative to the burial consumer. And the direct cremation consumer is driven more by price that I think we’ll handle on a different way, but there is a way to profit for both of this stream within July.
John Ransom – Raymond James: Okay, and certainly you and lot more competitors for acquisitions with financial sponsors couple other companies it’s repair the balance sheet, have prices kind of pass the point where they are all that attractive, are you still seeing sizeable deals that have attractive multiples?
Thomas L. Ryan: We’re still seeing deals that we like at attractive multiple, pipeline looks good. We haven't seen an impact from those things. Again, you’re always looking for that to begin to kick in this industries seen it before, but I think today the deals we’re seeing we like and they are at reasonable prices.
John Ransom – Raymond James: Okay. Thank you.
Operator: (Operator Instruction) Your next question comes from the line of Clinton Fendley with Davenport.
Clinton Fendley – Davenport & Company: Thanks. Good morning guys.
Thomas L. Ryan: Good morning, Clinton.
Clinton Fendley – Davenport & Company: First question on the cremation, I mean, obviously it's a volatile metrics here but I'm wondering if you saw the up-tick consistently throughout the U.S.?
Thomas L. Ryan: I think we see it in different regions. I don't think it is across the board, U.S– at different rates in different places. So but again not isolate to anyone but it's not a national trend item.
Clinton Fendley – Davenport & Company: And I now historically you’ve dropped some of your alliances with the direct cremation groups, and I mean why do you think we’re seeing it move up so much here in this quarter?
Thomas L. Ryan: It's very, very difficult to explain and again quarter-to-quarter you got to view this isn’t anomaly, like we’ve said, there is a time, last year as an example it grew 70 basis points someone’s got to say, is it slowing down, and I think our answer was, no. It’s just these trends tend to occur over the long periods of time in a very, very predictable in any one year, in particular in any one quarter it can over reacted. So I think we look at the 230 basis points as a anomaly. And again if we’re wrong and there is a trend, and that’s something you later react in, but I don't think Clinton this means necessarily anything. I know we do pay attention to things that are out there, so we do get concern that a lot of folks that are all the way fixed income, that are in a very low interest rate environment, got gasoline prices coming up, so you got to believe on the front some of those things are going to impact, but we don't see this as a continuing trend or a consumer choice that we grow at this rate.
Clinton Fendley – Davenport & Company: Okay. And then onto cemetery side, I guess it’s fundamentally why do you think we are seeing fewer down payments of 10% as just again the strain on the consumer or have you offered any different packages or anything that would maybe explain the reason here?
Thomas L. Ryan: I think its two thing, I think there probably is an element of the consumer being strained and therefore needing a little more financing. But actually we believe there is another thing that’s getting to happen, as the sales force continues to improve in growth you got sales that radiate within certain distance of your cemetery, and lot of it get sold what we call our family service [templates]. So they’re working through our cemetery to insure. As our sales force matures in growth, we’re expanding outside of that cemetery and beginning to grow to what we call community service. The folks that are out there meeting with people in their home maybe further away from cemetery, and so we are converting sales that maybe in the prior period we wouldn't have converted and that consumers not paying at a down payment that you would see and I would say more core traditional sale. So as you began to do that which is a phenomenal success you’re seeing less people with the down payment, and the key now is collect those and make those sales real and we think that’s what should occur in the coming quarter.
Clinton Fendley – Davenport & Company: I don’t like that.
Thomas L. Ryan: So there is clearly (inaudible) that we're seeing higher penetration rates as it relates to numbers of people buying cemetery properties.
Clinton Fendley – Davenport & Company: And that was my next question and I mean so you think it will be a couple of quarters before you can collect that 10% and recognize some of the revenue here than?
Thomas L. Ryan: Yes, I think again it depends on how long we’re financing it over and what their down payment is, but if you use a simple metric like 5% down, if it’s a three-year pay and now that you convert to next quarter, if it’s a five-year pay, it may take two quarters. But generally it’s going to be there. And the other thing that makes us feel good is we are very focused on collection. We’ve injected a lot of discipline as it relates to the collection process, those on the front piece and on the combined piece. We’re getting bank drafts as a way to set these up in the first place and I think that makes it a lot easier than relying upon, trying to collect that first payment about making a call or (inaudible). So, we feel pretty good about the collectability of the stream, again assuming there is not a big economic crisis where people go away from this type of sale. So we’ve used. The growth is good. We’re not concerned about the down payment, less than 10% because we view it as a way that we are growing cemetery sales now and potentially follow-up sales because again remember the adjacency associated with cemetery. If you tell Tom, hopefully you’re going to tell his wife and my brother. I think that my brother is going to be very next to me.
Clinton Fendley – Davenport & Company: Got it. Thanks guys.
Thomas L. Ryan: Okay.
Operator: Your next question comes from the line of Robert Willoughby with Bank of America Merrill Lynch.
Robert Willoughby – Bank of America Merrill Lynch: Hi, folks. I jumped on late. So if can answer these, I’ll just circle back with you. Have you expressed any comments on the debt rate in the current quarter, have the stronger trends continued or are they tapered of seasonally as you might expect? And then secondarily, the step up in CapEx year-over-year, can you remind us any particular projects underway? Yours is just spending now that times are a little bit easier, freeze up the wall out of it.
Thomas L. Ryan: Okay, (inaudible) and to answer your question as it relates to volumes first. The trend really began for us that we saw in November that continued through February. March stock investment bid and we attribute a lot of this to probably the severe weather patterns that we’ve experienced throughout the country. Having said that, we got a question about, we’ve been diligently saying about trends and again our conclusion from that study is that we believe that the numbers of debts to began to stabilize and easily began to grow. Now lot of this study can’t predict what can happen in 2011 specifically, but more about what’s going to happen in ‘11 through 2020 and what trend should be there. And we feel pretty good about that. So having said that that’s the background with which we’ve tried to look at our crystal ball, but we know though it can happen. I’ll tell you, we haven’t closed April yet, but April looks pretty good. It doesn’t look like a bad month by any stress of imagination. So again very, very hard to predict our business as we can manage our volume about any further big investment and we can manage down if we have to. We’ve injected a lot of variable cost mentality into our business. So we’ll do the best we can. As it relates to CapEx, really what’s happening, we don’t expect CapEx to go any higher than what we gave guidance on. The reason why quarter-over-quarter, I think it looks great. Remember this is cash spend. So a lot of projects were finished, particularly in the major markets in the first quarter of this year and you think that the last year’s first quarter, in 2010, to come out kind of a scary 2009. So I think a lot of the cash got spend later in the year. So year-over-year we feel pretty good that we’re going to fall up in the boundaries that we gave and it’s not really any differentiable expense to 2010.
Robert Willoughby – Bank of America Merrill Lynch: Okay. Thank you.
Thomas L. Ryan: Okay.
Operator: Your next question comes from the line A J Rice with Susquehanna.
A.J. Rice – Susquehanna Financial Group: Thanks (inaudible). Maybe just, you’ve talked around a little bit, but just update on the priorities for the use of cash flow. I know you got your debt down to a level. Well, I don’t think that’s necessarily a high priority unless there is an unusual shake out in the market. But can you just comment on debt repayment versus share repurchase versus development and acquisitions, sort of how do you think about those these days?
Thomas L. Ryan: Sure, A.J. I think the first priorities (inaudible) when you look at where the share price is, where debt levels are, where the interest rates are in the pipeline, it’s pretty easy to conclude that acquisitions are the highest and best used because the returns we’re seeing on those are at levels that we believe outperformed by a back running stock. And that continues to be the case. And again the pipeline is pretty full. We expect that to be place where we’re going to place our cash first. Having said that I think we’ve generally sounds they’re significant in that where you’re not going spend all of that on acquisitions. And as you look at the next step, the next best use in this environment for us and to return it to you guys and you can return it through share repurchasing, you can return it through dividends. We feel pretty strongly as a company and as a Board that we need to have a decent dividend yield and we’ll continue to work to try to grow that dividend over periods of time. However, at these rates buying back our shares that you think as the cash returns, they’re yielding north of 10%. We will buyback our shares and that makes a lot of sense for us to do. But lastly is for cash we’d never do and request upon this. Our liquidity and our balance sheet are in a very great shape from a leveraged perspective. So there is really no need and it’s not a great return, the rest of you buying debt. The reason we’d never buy in our debt in this time environment is really like fair set to manage the liquidity profile and so from time to time you might see us do that. So that we won’t do it for a strategic purpose at this point in time.
A.J. Rice – Susquehanna Financial Group: Okay. You talked around a couple of times also the fact that the pipeline looks good and its building and maybe better than it has been over the last few years. Can you just give us some flyover for what is driving that, and so the nature of discussion, is it a succession issue, is it fall out from the weak economy in the market debacle of two years ago or, I mean, it’s the fact that Tom sold out, at least to think about it, maybe give us a little more flavor for what’s driving an improved type loss?
Thomas L. Ryan: It will always be our gut feel. There is no empirical evidence, but I think a lot of things have to do with it. There is a rush if you will I think created by the uncertainty around taxes, specifically the raise of the capital gains, regulatory concerns. These things always tend to create a buzz about it, but I think as it really is and (inaudible) put us so appropriately. When you go back to the 90s, we and many others were outsoaring people and trying to convince them to sell their business (inaudible) and take that owner as that was in his late 50s, still had a lot of energy in one, but inherent a price in mind. And then when you go 10 years and it may take that long for somebody to go. That price if somebody showed me a 97, not going to get it. I finally gave up. And now I’m 68, I’m 70 years old. I don’t have children that are interested in the business. I’m much more likely, a transaction is much more likely to occur. I’m generalizing, but I think that’s part of it. It is just the industry from an ownership perspective is 10 years to 12 years older. We’ve been a lot of time passed when prices were significantly higher. And so, I think that realization stayed in. Again, I think the appropriate thing to say is about this industry you never really might achieve, quite unfair, and therefore our approach is really about selected. We want to go after the ones that are there. The pricing is going to dramatically change if these are consistent good business to be in and we like the ones we’re buying. We’re doing it on purpose.
A.J. Rice – Susquehanna Financial Group: Okay. Maybe one last thing. When you look at your book of business, obviously the cremation rates continues to move up there. You amounted the year-to-year price changes, I guess there is some discussion, at least one of the other players, I think there might be an opportunity unless you realize better rates on the cremation by selling obviously. And I know you guys have talked about this on floor and make the services. If you look at the year-to-year change in your average cremation rate price for service on the cremation side versus traditional funeral side, they’re growing about the same or is the cremation side staying on higher realization on price? I don’t know if you guys have talked about that or not.
Thomas L. Ryan: Yes. If you look over the last five-year we just did that study. And we look at what was happening in 2005, what was happening in 2010. We look at our business and then we did a survey of businesses across the country. And again we did it regionally, and so, I can give you a much differential, but I won’t. But the general conclusion is that from 2005 and 2010, the funeral, the burial consumer grew about 3% and the cremation consumer grew about 3% compound and (inaudible). When you look at the DI’s business our burial consumer probably grew about 3.5% and cremation consumer grew about 7% compounded. So I think that tells me two things. We’re probably (inaudible) about our cremation service charges, which again may have an impact of losers of volume two, but at the same time I think we’ve done a good job of packaging and tearing our packages in presentation therefore towards the cremation consumer. Now it’s towards the cremation consumer that wants services and products and therefore I think as we’re seeing the highest level of success. I think what some competitors are talking about are how you do get that person into the cemetery and I think that’s been a challenge for the industry all alone. I think the success rate of pulling that person at cemetery is pretty low, probably in the 10% to 15% range and that’s the trick that we all can do a better job of, but it’s a real challenge organizationally to get the funeral customer to go into the cemetery than in their backyard. And so, we’ll continue to strike things and I think there is handful opportunity to continue that growth as we get better at putting relevant product and services for billing and the box. And this all gets back to once the consumer willing to pay for and no one is concluding the (Inaudible) we’ll continue to drive.
A.J. Rice – Susquehanna Financial Group: Okay. That’s great. Thanks a lot.
Thomas L. Ryan: Okay.
Operator: Ladies and gentlemen, that concludes the question and answer portion of today’s call. I would like to turn the call back over to management for closing remarks.
Thomas L. Ryan: We want to thank everybody for being on the call with us today. We look forward to talking to you again, which will probably be the late July. So thank you for your participation and see you then.
Operator: Ladies and gentlemen, this concludes the presentation and you may now disconnect. Have a wonderful day.